Operator: Thank you for standing by, and welcome to the Lightspeed Fourth Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'd now like to turn the call over to Gus Papageorgiou, Head of Investor Relations. You may begin.
Gus Papageorgiou: Thank you, operator, and good morning, everyone. Welcome to Lightspeed's fiscal Q4 2024 conference call. Joining me today are Dax Dasilva, Lightspeed's Founder and CEO; Asha Bakshani, our CFO; and JD Saint-Martin, our President. After prepared remarks from Dax and Asha, we will open it up for your questions. We will make forward-looking statements on our call today that are subject to risks and uncertainties, that could cause actual results to differ materially from those projected. Certain material factors and assumptions were applied in respect of conclusions, forecasts, and projections contained in these statements. We undertake no obligation to update these statements except as required by law. You should carefully review these factors, assumptions, risks, and uncertainties in our earnings press release issued earlier today, our fourth quarter 2024 results presentation available on our website, as well as in our filings with U.S. and Canadian securities regulators. Also, our commentary today will include adjusted financial measures, which are non-IFRS measures and ratios. These should be considered as a supplement to and not a substitute for IFRS financial measures. Reconciliations between the two can be found in our earnings press release, which is available on our website, on SEDAR+, and on the SEC's EDGAR system. And finally note that because we report in U.S. dollars, all amounts discussed today are in U.S. dollars, unless otherwise indicated. With that, I will now turn the call over to Dax.
Dax Dasilva: Thanks, Gus, and welcome everyone. As you are well aware, I've recently returned as Lightspeed's CEO. I'm excited and energized to be back in this role and look forward to guiding Lightspeed through the next phase of its evolution, a phase that will be defined by profitable growth. So far, we are off to a great start. I'm happy to announce that this past quarter we delivered revenue of $230.2 million, up 25% year-over-year, ahead of previously established outlook, and adjusted EBITDA of $4.4 million. For the full fiscal year, we grew revenues by 24% to $909.3 million and delivered on our promise of breakeven or better adjusted EBITDA. And I am very proud that payments penetration came in at 32% this past quarter, meeting our target of between 30% to 35% by the end of our fiscal year. Our unified payments initiative has been a resounding success, and I want to thank everyone at Lightspeed that was involved in this effort. It highlights how effective this organization can be when we set goals and work together towards achieving them. I founded Lightspeed with the aim of helping independent businesses bring life into our cities and neighborhoods by helping them create exceptional customer experiences, the kind that stand out from the crowd. Our role is to empower these players with technology that was once available only to large enterprises. And this quarter, we were honored to add a host of compelling new customers, including: the five-star Hôtel les Roches Blanches in Cassis on the southern coast of France, which adopted Lightspeed Restaurant to operate their four beautiful restaurants and luxury villa; Johnston Canyon Lodge & Bungalows in Banff National Park, which has chosen Lightspeed to power their restaurant and café; NASA's Langley Research Center, which selected Lightspeed Retail to operate their retail outlet; with multiple locations across the United States, 5 Star Nutrition, supplements and protein retailer that has started to adopt Lightspeed Retail to power many of their retail stores; Ester Restaurants and Bar in Sydney implemented Lightspeed Restaurant to run their highly-regarded restaurant. And for our supplier network, we were delighted to add dozens of new brands, including ALDO Group, Saint Owen, and Seven 'til Midnight. Adding new customers is important, but equally important is helping our existing customers grow. I find few things more satisfying than watching our customers leverage our platforms to thrive and prosper. Their stories are inspiring and I want to share a few with you here today. Mildreds, a vegetarian food restaurant, which opened its first location in 1988 in Soho, has expanded to six locations using Lightspeed Restaurants and Payments. Like many of our customers, Mildreds was using pen and paper to take orders and gated legacy terminals for payments. Lightspeed Restaurant moved them into the digital age and allowed staff to spend more time with their guests and less time placing and waiting for orders and taking payments. By eliminating the mundane administrative tasks that weighed down the staff and management team at Mildreds, they are now focused on opening their next location. Analogue October Records has been a customer of ours since Founder Craig Crane opened his doors in 2017. His vinyl records store located in Chester, UK, has seen great success with Lightspeed Retail and Lightspeed Payments. More recently, Craig used an advance from Lightspeed Capital to help take his love for music to the next level and finance his very own record label. Craig's story demonstrates how the expansion of financial services in the Lightspeed platform can help entrepreneurs prosper and grow into entirely new ventures. On the supplier network side, Tribal Sportswear, a Montreal-based apparel brand available at over 2,000 boutiques and online shops across North America, wanted to expand their business. However, it lacked the data needed to make informed business decisions, such as how to improve sales forecasting, streamline their sales efforts, and enable broader buyer outreach. By leveraging NuORDER by Lightspeed, Tribal Sportswear gained access to trend reports to identify cost savings, enhance customer segmentation efforts, and expand outreach, leading to a 23% year-over-year increase in orders. Helping real businesses make an impact in their communities is the reason that I founded Lightspeed. The value we bring to the table is to enable businesses like Mildreds, Analogue October Records and Tribal Sportswear, with solutions that allow them to scale and optimize their operations. One of the areas where I've spent a lot of my time since returning as CEO is on our product strategy, which is an area where we will continue to invest. Overall, I have never felt better about where we stand from our product perspective. As an industry leader, it's crucial that we continue to leverage new technologies to further differentiate our products. Lightspeed has leveraged AI to automate mundane tasks that frees up time for our merchants to focus on their customers. We're constantly exploring new opportunities to leverage generative AI in our business and bring increased value for our merchants through smarter decisions and actionable insights. Through this initiative, we're committing to value-driven innovation for our merchants and focusing our teams on using Lightspeed AI to deliver against three core pillars: making recommendations to improve our merchant sales and profits; forecasting future needs; and reducing the burden of operational tasks to save our merchants' time and money. So far, we've released several AI-driven innovations, including AI-generated product and menu descriptions and AI-powered configuration recommendations for Lightspeed Restaurant. But this is just the beginning. And of course, we will continue to innovate our platform outside of AI. During this past quarter, we continued to deliver great new features. In retail, we launched improved forecasting on Lightspeed Retail. Our data shows that on average, the top 5% of any merchant's products are out of stock 21% of the time, leading to lost revenue and profits. Our new forecasting abilities will take into account out-of-stock periods so merchants can more accurately stock their inventory. We also released order tracking on Apple Wallet, allowing Lightspeed e-commerce consumers to track their orders through their Apple Wallet, eliminating the need for emails or third-party sites. In hospitality, we launched major enhancements to Order Anywhere, including order history and account management for Lightspeed Restaurant guests. This new capability facilitates quick reordering, which helps improve repeat business for our restaurant customers. Our success as a company is directly linked to how well our customers perform. So, our product development focus is geared towards ensuring they succeed. Now, I'd like to take some time to discuss the year ahead. I think the accomplishments of this past year place us in an excellent position to pursue our overarching goal of long-term profitable growth. Our go-to-market teams are now focused on our flagship offerings, payments penetration continues its strong upwards trajectory, and we now have positive adjusted EBITDA operations. For fiscal 2025, we are focused on three key operational objectives aimed at achieving our goal of profitable growth. And these are: accelerating software revenue growth and gaining market share; continuing to advance adoption of our financial services; and controlling costs and finding operational efficiencies. In terms of accelerating software revenue growth, we are pursuing this goal on two fronts; we are going to improve our go-to-market efforts, and as I already mentioned, continue to invest in product innovation. Having made significant strides with our unified payments efforts, our account managers will now start to return to their traditional role of upselling software, which we expect to gain momentum as we move through fiscal 2025. We also have several other initiatives underway to improve our go-to-market efforts. These include: Perfecting all aspects of our customer journey in terms of how we land, launch, manage and support our customers. We want to focus our resources on our ideal customer profile to ensure they have a seamless experience with Lightspeed. Our efforts will remain to focus on finding and catering to higher-GDP customers that tend to adopt more software, generate more payments revenue and have lower churn. Updating pricing across our portfolio of products. This will be a targeted effort and we are looking at both existing and new customers across the organization by product and region. We want to ensure our pricing is representative of the immense value we provide to customers. Increasing our outbound sales motion. We find field reps are better at winning high GDP customers. We are repurposing some of our spend and expect to end fiscal 2025 with north of 100 outbound reps. And finally, we will complement these go-to-market initiatives by investing in growing brand awareness across our retail verticals and in regions where our hospitality offering is strong. As I've already discussed, on the product side, we will accelerate innovation by increasing our investment in R&D. This will include expanding on our established advantages such as industry-leading inventory management capabilities and supplier network, as well as leveraging new technologies, such as AI, to differentiate our products. Our second objective is to continue to advance adoption of our financial services, including payments, capital and instant deposit. 2024 was a transformative year for payments adoption. Payments is now so deeply embedded into our software products that we no longer distinguish the two as separate offerings. Unified payments improved our processes and technologies in terms of selling and onboarding payments customers and we will continue to recognize these benefits during fiscal 2025 and beyond. I expect payments penetration to continue its upward trajectory for this year and next. We also had another good year for capital, which more than doubled revenue in the year. With the expansion of capital to EMEA and APAC, I expect to continue to see impressive growth from this offering. The data we maintain through our POS and payments offerings allows us to mitigate our risk exposure on capital advances, while helping to ensure healthy returns. And, although we only launched instant deposit last year, it is showing excellent potential for growth. Given the high-margin impact of these products, capital and instant deposit have the potential to meaningfully improve our profitability. Our third objective for fiscal 2025 is to control costs and find operational efficiencies. Last month, we took the difficult but necessary decision to eliminate 280 roles, reducing our headcount-related operating expenses by approximately 10%. In addition, we have taken other actions to reduce costs, such as moving our sales summit to a virtual format and reducing our office footprint. And we will continue to look for opportunities to reduce costs across the organization and continue to invest in sales and R&D while expanding margins. I will let Asha discuss this topic in more detail, and we'll now turn the call over to her to take us through the quarterly results and provide our outlook.
Asha Bakshani: Thanks, Dax, and welcome everyone. Lightspeed had another great quarter. I will walk you through our year and latest quarter's performance, then outline some of the cost reduction and margin expansion efforts for fiscal '25, discuss our recently announced share repurchase program, and close with an outlook for the upcoming quarter and fiscal year. On results, most of my commentary will be focused on Q4, but first, I'd like to highlight a few elements from our full fiscal 2024. We delivered on our key goal in 2024. We significantly improved payments penetration and we achieved positive annual adjusted EBITDA for the first time. Total revenue of $909.3 million grew 24%, surpassing our outlook for the year of between $895 million to $905 million. Subscription revenue was up 8% and transaction-based revenue up 37%. We had a net retention rate of approximately 110%. Gross payments volume as a proportion of GTV ended the year at 32% versus 19% at the end of last year. Adjusted EBITDA improved by $35.1 million to $1.3 million. We ended the year with total cash and cash equivalent of $722.1 million, with our capital program using approximately $51.3 million in cash for the year. In terms of the quarter, Lightspeed had another great quarter, with revenue coming in at $230.2 million, ahead of our previously established outlook, and growing 25% year-over-year. Our positive adjusted EBITDA in the quarter was $4.4 million. And our unified payments efforts continue to increase the monetization of our trailing 12-month GTV of $90.7 billion. Subscription revenue increased 7% year-over-year to $81.3 million. Gross margins on subscription revenue came in at 77%, an increase from 75% in the same quarter last year. When removing the impact of share-based compensation expense, gross margin on subscription revenue was 78%, up slightly from last quarter, thanks to a dedicated effort to consolidate cloud vendors and improved overall efficiencies. I am very happy with our progress on gross margins for our software revenue. I want to reiterate that for this fiscal year, the vast majority of our account management team, which is usually focused on upselling our customers on software, was temporarily assigned the job of onboarding new payments customers as you heard from Dax. Our account management team historically accounts for approximately half of our new subscription revenue in any given quarter, and this temporary shift in focus impacted subscription revenue growth. We expect that by mid fiscal 2025, the majority of our account managers will return to their traditional role of selling software modules to existing customers, and as a result, we expect software revenue growth to benefit. Transaction-based revenue grew 40% to $139 million. In the quarter, we saw gross payments volume increase 75% year-over-year to $6.6 billion as a greater portion of our GTV went through our Lightspeed Payments platform. Lightspeed Capital revenue grew 135% as the service continues to be popular with our customers. Lightspeed Capital offers fast access to capital and an automatic repayment method through Lightspeed Payments. Merchants are using this offering to finance inventory, to upgrade equipment, and to expand their overall business. Gross margins for transaction-based revenue came in at 29%, down slightly from the previous quarter, as declining referral fees were partially offset by rising high-margin capital revenue. As we convert referral customers to Lightspeed Payments, we increase our overall net gross profit dollars. Total adjusted gross margin, which excludes the impact of share-based compensation and related payroll taxes, came in at 44%, slightly up from the previous quarter and down year-over-year. Adjusted gross profit dollars came in at $100.7 million, an increase of 15% year-over-year. Adjusted EBITDA in the quarter came in positive at $4.4 million. This is much improved from an adjusted EBITDA loss of $4.3 million in the same quarter last year. The improvement is the result of our growing gross profit and continued focus on prudent spend across our organization. Total adjusted R&D, sales and marketing and G&A expenses were up 4% from a year ago. This was partially due to increased operating expenses tied to the growth of our capital program and ensuring we have the right risk mitigation tools in place to scale that business. We have deployed several AI-based customer support tools that have helped us lower costs but also improve customer satisfaction. We will continue to leverage this technology in fiscal 2025. As a percentage of revenue and gross profit, total adjusted R&D, sales and marketing, and G&A expenses declined year-over-year. We had an adjusted income of $8.5 million versus an adjusted income of $0.4 million last year, thanks largely to the improvement in the items driving our adjusted EBITDA performance and growing net interest income in the quarter, which increased by approximately $0.9 million from a year ago. We continue to actively manage our share-based compensation and related payroll taxes, which were $8.1 million when excluding restructuring, down from $16 million a year ago and approximately 4% of revenue, down from 9% in the same quarter last year, due to the ongoing prudent management of our equity pool as well as certain forfeitures this quarter. GTV from our flagships continued to be strong this quarter, up 29%, demonstrating that for our target customers and with our flagship products, we're seeing good success with attracting the right customer base. In retail, same-store sales were largely flat in the quarter on a year-over-year basis, and much like the rest of the industry, we had a challenging month of January. Total GTV growth was more modest this year, owing to a challenging macro environment and given management's attention was focused on unified payments. Overall GTV in the quarter, including non-flagship offerings, came in at $20.7 billion, up 2% year-over-year. In fiscal 2025, increasing our high GTV customer base and growing our GTV will be a major focus for both retail as well as hospitality. As Dax mentioned, we are perfecting how we land, launch, manage and support our customers. Increasing outbound sales efforts is part of this, but there are several other initiatives underway. We're already seeing the positive impact of these efforts and expect these to continue to bear fruit throughout fiscal 2025. This quarter, we also continued to grow our sophisticated higher GTV customer base. Customer locations with GTV exceeding $1 million a year grew by 6%, and $500,000 a year grew by 5% in the quarter, whereas those with GTV under $200,000 a year continued to decline. Total ARPU in the quarter came in at $431, up 29% year-over-year. Unified payments and our flagship products are helping to increase overall ARPU, given that we are going to market exclusively with our flagships and mandating payments for all eligible, new and existing customers. Churn rates in the quarter are still below the levels we had anticipated for unified payments, and the vast majority of our overall location churn is in the cohort processing under $200,000 in annual GTV, contributing to a net retention rate for the full year of approximately 110%. In terms of our balance sheet, Lightspeed closed the quarter with just over $722 million in cash and cash equivalents, down from approximately $749 million in the previous quarter. Merchant cash advances used $18.5 million of capital during the quarter. For fiscal 2025, we expect to meaningfully improve overall cash burn after removing cash used in our Lightspeed Capital program. We continued our efforts with unified payments in the quarter, with GPV as a percentage of GTV coming in at 32%, achieving our goal of between 30% to 35% of GTV by the end of the year. Unified payments has been a success for us. We have received very strong feedback from our customers. The LTV to CAC of our customers improves when customers add payments. Although the launch of unified payments is behind us, we will continue to focus on monetizing more of our GTV through Lightspeed Payments, which is inevitable given that today our software and payments are sold as one unified platform. Now, onto our cost reduction and margin expansion efforts. As many of you are aware, last month, we announced a workforce reduction initiative that is expected to reduce our headcount-related operating expenses by 10% for fiscal 2025. These cuts were largely focused on non-revenue generating roles. In addition to the workforce reduction, we continue to assess other areas to cut costs. We are undertaking a thorough review of our global facilities to identify areas where we can rationalize our footprint. We're also examining contracts with partners and vendors to see where we could recognize greater savings. I believe that although we have done an excellent job at integrating our various acquisitions into two core flagship platforms, there is still room to optimize our operations and recognize synergies. Offsetting these cost reductions, in part, we will be making investments in product and go-to-market. As we have mentioned, we do plan to grow our outbound sales team as they are more effective at winning our ideal customer profile. And as Dax mentioned, we will continue to invest in product innovation to ensure we maintain our lead for complex, high-GTV, brick-and-mortar merchants. Overall, we expect our adjusted operating expenses to grow in the low-to-mid single-digit range in fiscal 2025. It will vary quarter by quarter, and remember, Q4 is generally the seasonally weakest quarter from a GTV perspective. We expect adjusted EBITDA margins to expand meaningfully in fiscal 2025 and 2026. In terms of our stock buyback, which we announced concurrently with our cost reductions, our Board has authorized a share repurchase program, allowing us to buy back up to 10% of our public float valued at approximately $140 million at the time of our announcement. This program demonstrates our confidence in the financial momentum of our business. We have added the share repurchase program to our overall capital allocation strategy as we believe the current share price does not accurately reflect Lightspeed's value, our market opportunity, or our long-term growth prospects. Our plan is to execute the program opportunistically, aiming to deliver maximum value for our shareholders. With a strong balance sheet and improving profitability, we are well-positioned from a capital perspective to repurchase shares while continuing to execute our long-term strategy. Now, onto our outlook. In 2025, we anticipate significant improvement in our adjusted EBITDA performance. From an operational standpoint, the restructuring we announced last month has been substantially completed, benefiting both this quarter and the remainder of the fiscal year. Additionally, we will continue to identify operational efficiencies throughout the year. Regarding growth, we have implemented several initiatives aimed at boosting software adoption and customer growth. These efforts will be rolled out at various stages during the fiscal year. As a result, subscription-based revenue growth will be more pronounced in the second half of the fiscal year compared to the first half, and we remain confident that we will continue monetizing more of our gross transaction volume through our payments platform. Given our deliberate focus on expanding adjusted EBITDA profitability in fiscal 2025, we anticipate overall revenue growth of at least 20%, accompanied by an adjusted EBITDA of no less than $40 million. This will put us at over $1 billion in revenue, an exciting milestone for the company. For the first quarter, our revenue projection falls within the range of approximately $255 million to $260 million, representing year-over-year growth of approximately 23%. Additionally, we expect adjusted EBITDA to reach approximately $7 million, an improvement of $14 million compared to the same period last year. As we move forward, we anticipate that software growth for the first quarter will remain at levels similar to what we observed in the previous quarter, with quarterly subscription revenue growth gradually ramping up throughout the year to 10% to 15% growth. With that, I will hand the call back to the operator to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Dan Perlin from RBC. Your line is open.
Dan Perlin: Thanks. Good morning, and nice results here. I just wanted to touch on the pivot of the sales force going back to subscription-based revenues away from payments a little bit. And just -- the question there is, obviously, we've got a ramp into the second half as you were just describing, is there any expected fallout in terms of payments penetration as a result of that? I know you're saying it's going to continue to climb throughout the year, but I'm just wondering how that interplay is going to work since -- when you pivoted to payments, it obviously drove an enormous, and if you're pivoting away, I'm just wondering how you're thinking about that penetration rate throughout the year? Or are you just suggesting that because now it's so unified that if you're just selling subscription, payments will follow? So, thanks.
JD Saint-Martin: Yeah, thank you for the question. JD Saint-Martin here. Maybe let me start just by saying when Lightspeed is focused on something, we get it done. And to your point, last year the focus was really unified payments, and you can see the results in top line and bottom line. That said, what I'm most excited about is all the foundational work behind the scenes that we did that sets us up for the future, and we don't always get credit for that. After all our acquisitions, we've moved to a single flagship per industry, moving to a single tech stack of systems and tools that will really set us up incredibly well to drive innovation to our customers and ultimately also run the playbooks that allows us to continue to gain market share in the segments that we focus on. As far as the AM motion is concerned, you know, from a go-forward perspective, as we come out of unified payments and that program, our AM team is rotating back to a balanced approach of cross-selling payments as well as upselling software and mitigating churn. As you know, our AM team is a driving force here at Lightspeed, typically accounts for about 50% of our software bookings. So, you can expect substantial improvements throughout the year as we drum up pipeline and it makes its way through to revenue from a subscription perspective. It's worth highlighting beyond AM as well, on the new customer front, we have various initiatives that will drive more sales in the $500,000-plus segments and ultimately that will have a positive impact on subscription and payments. Worth highlighting that our flagship products have a higher ARPU and that's going to make its way through. But that said, payments is still a focus. It's one of our OKRs this year and we're going to continue to make progress on payments penetration, 32% is a step forward, but there's a lot more coming. Asha, maybe you want to touch on that?
Asha Bakshani: Yeah, sure. So, thanks for the question, Dan. With respect to payments penetration, JD just touched on the subscription, but from a payments penetration perspective, as I said in the opening remarks, it's inevitable that we continue to monetize more and more of our GTV through payments because now we're selling our software as one unified platform with payments. So that ultimately means that the majority of any new GTV coming in will be monetized on payments right away. And we've said in the past that we expect to end fiscal '25 in the 40% to 45% range on payments penetration, and we're still confident with that trajectory.
Dan Perlin: That's great. Can I just ask one quick follow-up on transaction gross margins? And here the question really is the interplay between like Lightspeed Capital and then you've got, I guess, instant deposit and the payments gross margin, obviously, which is lower, but the transaction margin held in pretty good this quarter on a sequential basis. And I'm wondering, as we think about the cadence for next year, is it possible that we could have kind of flat to up margins, maybe not for the full year, but just in any one of those sequential quarters? Thanks.
Asha Bakshani: Yeah, sure. You've heard us say this before, there's lots of puts and takes in the transaction gross margin, but you're absolutely right, we expect it to be stable or even higher than what you're seeing today. And I'll give you the pluses and the minuses that are driving that. On the residuals piece, as payment residuals come down, as we move these customers over to Lightspeed Payments, we get more gross profit dollars. So, it's great for Lightspeed, but it does put downward pressure on the transaction-based gross margin. On the other side, however, we're growing our capital business. It's still a nascent business. We did under $20 million in revenue in fiscal '24. We're expecting to grow that quite nicely. That comes in at 95% gross margins, so that pushes up the transaction-based gross margins. And last but not least is the international expansion on Lightspeed Payments. As you've heard from us, the gross take rates are lower in Europe and APAC. They're in the 1% to 1.5% range. But the net take rates are in the 35% to 40% -- 35 bp to 40 bp range. And so from a gross margin perspective, Europe and APAC actually has higher gross margins than what we see in North America. They're in the 30%, 35% range. And so, all told, all of those factors together does result in pushing up the overall transaction-based gross margins for Lightspeed.
Dan Perlin: That's great. Thanks so much.
Operator: Your next question comes from the line of Andrew Bauch from Wells Fargo Securities. Your line is open.
Andrew Bauch: Hey, good morning, guys. Dax, great to hear you back. Maybe we can just start there. You've been involved with the company over the last two years, but not at the helm. So, maybe just taking a step back and how you're thinking about the business going forward now relative to the last time you were in the seat?
Dax Dasilva: Yeah. So, excited -- super excited to be back. It's been a great 90 days working with the team. We're in a new phase. This is the profitable growth phase of Lightspeed. So, thrilled to be leading this period of the company. I think for me, how that breaks down is, in fiscal '25, we want to accelerate software revenue growth. JD outlined very well how we're going to go about that. I think we have very compelling products that are tailored for our ICP customer and we have a very compelling customer journey that we're also tailoring across a land, launch, manage and support for that ICP. I think we're going to be the software vendor that meets their needs better than anyone else. We can serve this customer better than anyone else. So, very excited about seeing software revenue grow in fiscal '25. The second part of the profitable growth strategy is continuing payments penetration, as Asha just mentioned, ending the year between 40% and 45%. And then finally, operational efficiency. This has been our laser focus for the last 90 days, and we will continue to find operational efficiencies throughout the company. And I think we have our marching orders for the year. And you'll see that we're balancing growth and profitability in our guide for fiscal '25.
Andrew Bauch: Got it. And then maybe I'll just ask the macro question. A lot of your verticals that you play in have a lot of sensitivity to the macro. So, maybe anything that you've seen through May at this point that's worth calling out, be it from points of strength, or places that are maybe under a little bit more pressure?
Asha Bakshani: Hey, Andrew, I'll take that one. So, with respect to the macro, what's contemplated in our guide is very much what we've seen in fiscal 2024. You've heard us say throughout fiscal 2024 that there's certain retail verticals that still haven't come back to pre-COVID levels, bike and home and garden in particular. Their same-store sales are flat or slightly down in those verticals. And we're continuing to assume those same numbers when we look to fiscal 2025. And despite that, we're confident that we could grow the top line at least 20%. So, what that means for Lightspeed is when those verticals do come back to growing same-store sales year-over-year, it's a much better outcome for us.
Andrew Bauch: Great. Thank you, Asha.
Operator: Your next question comes from the line of Trevor Williams from Jefferies. Your line is open.
Trevor Williams: Great, thanks. Good morning. Appreciate you taking the questions. And this is kind of a follow-up to what Andrew was just asking. Just on GTV growth, so the up 2% this quarter, if you could unpack some of the moving pieces within that? I mean, it sounds like there's still some macro pressure in some of those retail verticals, location churn kind of at the low end. But anything else worth calling out there? And I know you guys don't guide GTV growth, but if you could just give us a sense for how quickly you think GTV growth can start to reaccelerate? Thanks.
Asha Bakshani: Yeah, sure. I'll talk about Q4 first. So, I think the first thing that we want to highlight is that GTV growth in our flagships has grown 29% year-over-year. And that's really encouraging for us. Even when we look at same-store sales, when we look at the same-store sales and the cohort of customers that are on our flagships, that's grown year-over-year, which is not what we're seeing overall in our portfolio, which includes non-flagships. And so that tells us that we're targeting the right customer base and that we are increasing our overall base of customers with the right mix. For Q4, overall GTV was about 2% up -- 2% year-over-year. And that was heavily influenced by two things. One is the non-flagships that I just talked about, and second was the weather-related issues that we saw in January. You heard that from several others in the industry as well. In particular, it impacted North America hospitality. And because North America hospitality is a big portfolio for us, that did impact the overall GTV growth at 2%. As we look forward into fiscal 2025, you heard from JD earlier that we've got a very aggressive plan on growing software revenue, which we're really excited about. And more customer locations, more customer locations in our ICP, more customer locations on our flagships, all mean better GTV growth. So, even though we're not guiding GTV growth, we are assuming GTV growing at healthier clips than we saw in fiscal '24 because as you know, fiscal '24 was all about unified payments for us. And with fiscal '25 being focused on increasing our ICPs, increasing our location count in that cohort, we expect GTV to grow as well.
Trevor Williams: Okay, great. And then on GPV, could you just give us an update today on where we sit on the mix between US and international? And then within that, 40% to 45% target for this year, and how you see the mix changing as part of that? Thanks.
Asha Bakshani: Yeah, for sure, Trevor. So, we don't disclose, actually, the overall portfolio or GPV between US and international. But what we have said in the past, and I'll reiterate, is today the majority of the GPV is still from the US portfolio. But that is changing. From about a year ago, I would say in fiscal 2024, the international portfolio has pretty much doubled because of the unified payments efforts. So, even though it's lower than in the US, international portfolio is growing, and I alluded to that earlier when I talked about expanding margins and the transaction-based revenue.
Trevor Williams: Thanks.
Operator: Your next question comes from the line of Raimo Lenschow from Barclays. Your line is open.
Raimo Lenschow: Hey, thanks. Congrats from me as well. Two questions. One is on the reacceleration of the software part. Obviously, there's going to be a benefit from the sales guys refocusing. And then, like the other initiative, can you split that into -- is the bigger effort coming more from just kind of refocusing the sales guys, or is it more like the product go-to-market changes there? And then, I had one follow-up for Asha.
JD Saint-Martin: Yeah, I mean, as I said earlier -- JD here, thank you for the question. So, if you look at our go-to-market motion, historically, our AM team represents about 50% of our software bookings. So, going forward in our land-and-expand model, we're expecting to go back to that healthy balance. And so, to your point, you can expect the subscription line to accelerate going forward. It's probably worth highlighting, too, that we have opportunities from a pricing and packaging perspective that will create additional opportunities for a subscription line and that will play out throughout the year.
Raimo Lenschow: Okay, perfect. And then -- thank you. And then, Asha, if you think about the cost actions you took last year and this year, in a way, there's usually a lag effect. So, can you talk a little bit about, like how you see this kind of feeding into your P&L this year? And then, are we done with those efforts now? Or like, how do you see this going forward in terms of optimization of the business? Thank you.
Asha Bakshani: Sure. Thanks for the question, Raimo. So, with respect to the restructuring that we announced early this quarter, so April 3, we do expect to see the benefit of that for the majority of fiscal 2025. The restructuring will be substantially complete in this quarter. So, definitely benefits the full year from a cost perspective. In addition to that, and we said that in the opening remarks, we're looking outside of headcount. We're trying to rationalize our footprint in different offices, we're looking at our IT licenses, and we continue to find cost synergies and expect that we will continue to do so as we move forward quarter by quarter.
Raimo Lenschow: Perfect. Thank you. Well done.
Operator: Your next question comes from the line of Matt Coad from Autonomous Research. Your line is open.
Matt Coad: Hey, good morning, guys. Thanks for taking the question. I wanted to touch on the One Lightspeed initiative. It's great that you kind of have 100% attach rate of flagship products for new merchants. I kind of wanted to go back to the topic of converting your back book of merchants over to the flagship products stuff. Curious if you could give us like any numbers, maybe on what percentage of locations are on your flagship products or what percentage of your volume comes from your flagship products? And then like what is the path forward to getting more of your customers over to those flagship products?
Dax Dasilva: Yeah, thanks for the question. First of all, the non-flagship platforms are profitable for Lightspeed. Very little in the way of R&D costs and low support costs. But we are focused on creating an easy upgrade path to the flagships. So right now, we're focused on having migration tools that easily transfer data and configuration, because people do -- our customers will want -- some segments of them will want access to the product innovation that's happening on our flagship products. So, the upgrade program, it's a retention play for customers that have reached the limits of our non-flagship products and are looking for more functionality. And of course, ARPU is higher on the flagship products and creates revenue expansion opportunities. So it's a opportunistic sort of upgrade path. And we're creating that path right now with the tooling and that will happen as the year goes on.
Matt Coad: All right. Awesome. Thank you. And then just for my second question, I wanted to go back to Lightspeed Capital. Like you mentioned, revenue growth there has been robust. Curious if you guys could kind of like touch on your game plan for this business maybe three years out, like how big can this revenue line get for you? And then as the business scales, do you plan to only utilize your balance sheet, or do you plan to kind of pursue more of like a forward flow model?
Asha Bakshani: Yeah, sure. I'll take that. Thanks, Matt. From a Lightspeed Capital perspective, there is, you know, a huge opportunity. I'll start by saying that. When we look at our peers that are doing capital and have been doing -- having capital for a long time as a part of their business, they're giving out about 1% of their GTV in merchant cash advance. If we were to do 1% of our GTV, that's, almost $1 billion in merchant cash advance. So definitely, a ton of growth potential for this business. What we plan on doing is growing this business very cautiously given the macro. As we've said before, we are in the perfect position to underwrite our customers for capital, determine the creditworthiness of our customers and how much they should be underwritten for. And we've had great success with the business so far, but again, growing it in a very steady and cautious manner. We don't expect that we would use our balance sheet for several hundred million of merchant cash advances underwritten. We're already in talks with partners. There are lots of interested parties because they recognize that Lightspeed is in a great spot to underwrite customers. So, we're already in talks with partners today. We have from, at any given point in time, $50 million to $60 million outstanding from merchant -- from this merchant cash advance business, and that may go up to $100 million, but we're not planning to leverage our balance sheet for much more than that.
Matt Coad: Really helpful. Thanks, Asha.
Operator: Your next question comes from the line of Josh Baer from Morgan Stanley. Your line is open.
Josh Baer: Great. Thank you for the question. I wanted to come back to software and just thinking about the ramp to 10% to 15% growth. You mentioned land, expand, and pricing. Was hoping you could give some color on the contribution, the breakdown, how much growth is coming from pricing? What's really driving that? How much from customer growth? Wondering if the non-Ecwid customer count can grow in fiscal '25. And on the expand, what's the contribution and which modules are driving that? Thank you.
JD Saint-Martin: Yeah, thank you for your question, Josh. I don't think we would disclose the breakdown per se, but I mean, obviously what you can expect is as our AM team is rotating back to a balanced approach, historically, that team was focused on selling software, focused on selling and cross-selling payments, but also mitigating churn. So, that's going to be a big part of our story this year, and that's going to have an impact on subscription revenue. And then, on the new customer front, we have a lot of initiatives. It's been touched on by Dax earlier, but we're really evolving our approach as far as how we land customers that are in that $500,000 cohort. We're going to do more account-based marketing. We're up leveling our outbound efforts. We're up leveling our partnerships. And so, that's bringing in not only customers that have bigger GTV, which is great for payments, but these are customers that have more registers, more locations, and so they have needs for more software. And so, you can see the impact on the software ARPU as well. And then, lastly on pricing and packaging, you'll hear more from us in the coming months. Obviously, this is an effort that we have to roll out across our portfolio. We have multiple products, multiple regions, and we want to start by communicating with our customers first and foremost. But we haven't touched pricing and packaging in a long time. And especially as we drive more innovation, there's an opportunity to look at how we bundle software modules. And so, that's also going to impact this year in a positive way and also in a sustainable way for future years to come.
Josh Baer: Thank you. That's helpful context. And just on the modules, like not specific contribution, but what are some of the key modules that are -- that customers are adopting?
JD Saint-Martin: Yeah. So on the retail side, our customers come to us because they have complex omnichannel requirements, right? So from a module perspective, already you can see a very strong attach rate on e-commerce and we continue to invest in that product and there's a great opportunity to really improve that. And then, once they're leveraging our platform for front of the house, from a retail perspective, then on the back of the house side, we're driving a lot of innovation around analytics and insights. And some of those insights are now leveraging payments as well, which adds another layer of information which is critical and crucial and ties into also customer loyalty. So, on the retail side, we've made a ton of progress with our X-Series flagship and there's a lot more coming up in the coming weeks that I don't want to share a spoiler alert, but that we're very excited about. And then on the hospitality side, as you know, we're known for insights module. It's probably the gold standard in the industry as far as the type of insights and analytics that we can provide. And so, we've added Lightspeed Insights to our flagship offering on the hospitality front, starting with North America and more recently in EMEA and both UK and now Continental Europe. And we're seeing strong attach rates there which drives ARPU upward. And then, the way our pricing works on both sides is also based on register count. And so, as we sign bigger customers, they by default add more registers, which in turn drives subscription upward. So, kind of another halo effect on top of the modules that we benefit from as we sign bigger customers.
Josh Baer: Great. Thank you.
Operator: Your next question comes from the line of Tien-Tsin Huang from JPMorgan. Your line is open.
Tien-Tsin Huang: Thanks a lot. Hey, Dax, good to have you back. I wanted to ask you, you mentioned product strategy being a focus, of course. Just the big picture question of depth versus breadth, as you think about the go-forward on the product side, what's your priority?
Dax Dasilva: I think it's depth. It's depth for the ICP customer. And as I was saying before, we want to be able to serve this customer. We already do serve this customer better than any other player. This is the complex segment, the merchant that's got complex inventory or in the case of hospitality, complex workflows. And we go deep. We go deep and not only on the product innovation side, but also on the customer journey side, how we land, launch, manage and support that customer. We're using a -- we're going to be leveraging AI to help merchants make -- to give them recommendations, to help them forecast, to remove mundane tasks. So, we're already delivering value on that front. On retail, continuing to build our competitive advantage. Those -- that complex inventory management need is served better than us than anybody else managing multiple physical locations. In restaurant, we want to continue to improve the capabilities of our flagship restaurant product. Analytics, as JD pointed out, is a real strength of that product. Nobody does insights better than us. On B2B, we want to continue to build out that product, making it more seamless for retailers and brands to do business with each other. Capital that's being built into the retail software, and that's more than doubled in this last year. And of course, another financial service that's come out this year is instant payout, launched in the US retail this past year, we're going to expand on that.
Tien-Tsin Huang: Perfect. Thanks for going through that. Just my quick follow-up. Then, just in your view, North America restaurant, I know it gets a lot of attention on the stock side. As you've taken a look at that product and how it's performed, what's your assessment there and your -- their outlook for investing in the product? I've seen it certainly more my personal experience here.
Dax Dasilva: Yeah. A lot of our base is in Europe where we're very strong in fiscalization. But I think in the US hospitality market, we have strengths on the insight side and the analytics side. We have a large base in the US and we believe that we're going to compete hard for ICP customers in this market. Restaurants integrated with hotels, table service, fine dine, resorts, this is where Lightspeed really excels in terms of its feature set.
Tien-Tsin Huang: Perfect. Thank you.
Operator: Your next question comes from Dominic Ball from Redburn. Your line is open.
Dominic Ball: Hello, Dax, Asha and Martin. Thanks for your question. So, some of your competitors have announced or enacted price rises. I think you mentioned in your opening remarks as well about updating pricing across some of your products. Can we get a bit more color on this? And is there a possibility to increase prices on payment rates as well? And any timeline associated with this would be great. Thank you.
JD Saint-Martin: Yeah, thank you for your question. JD Saint-Martin here. Yeah, so as I said earlier, right, we haven't touched a lot packaging, and there's a real opportunity on that front. So, part of your question is more on the subscription side. We see there's an opportunity there. We want to be conscious of what we announce on this call. Like, we want to first communicate to our customers. And it's a rollout that will take time and will roll out throughout the year across different regions, across different product lines. But there's absolutely an opportunity to rethink our packaging on the front book side from a new customer perspective and then opportunities on the back book for existing customers to align existing customers with our new packaging on the front side. You touched on payments. Yes, there are also opportunities on that front. As our portfolio grows, we continue to see opportunities there and that's also part of that journey. We want to make sure when we touch pricing and packaging that we look at it from a holistic point of view now that we're both a software and a payments offering. And so, simple answer or quick answer to your question is that there are opportunities on that front as well.
Dominic Ball: Thank you. Super useful. And just one more, any further details on the transition from legacy products to the flagship products? Last time, we heard it was 30% of merchants. Can we get an update on this?
Asha Bakshani: Thanks for the question, Dominic. We have about one-third or actually a little more of our overall base that's on our flagships today. With respect to the non-flagship products, Dax talked about it a little bit earlier, but these platforms are profitable today. There's very little R&D costs associated with them. There's very low support costs associated with them, because the customers are familiar with those products and have been using them for several years. What we are focused on now is creating an easy upgrade path to the flagships. We want to make sure that our -- migrating to the flagships is not disruptive for our customers, that we've got the right migration tools to transfer the data, to configure their systems overnight. And so, that upgrade program for us is a retention play for customers that have really reached the extent of how they could use the non-flagships and are actually looking for more functionality because the new functionality is obviously being built on the flagships. And then last but not least, ARPU is much higher on our flagship products. And so, that creates nice revenue expansion opportunities as we do that migration. So, you'll hear more from us on the sunsetting of non-flagships and we plan to go product by product.
Dominic Ball: Cool. Sounds good. Thank you.
Operator: Your next question comes from the line of Richard Tse from National Bank Financial. Your line is open.
Unidentified Analyst: Yes, thank you. This is James sitting in for Richard. Could you just give us an update on the B2B opportunity and whether you figured out what the revenue model will look like?
Dax Dasilva: Yeah. We're excited about this product. We've got it integrated into retail. For example, we have customers that can browse catalogs now from within our retail product on new order and can also import purchase orders back into Lightspeed so that those POs can be received. This -- for example, we have a customer that we've spoken about called CSP -- CVS, and they're basically able to save 40 hours a week in basically very repetitive tasks by being able to enable this workflow. We're certainly looking forward to being able to monetize this further. We'll have more news on how we monetize that payments flow. For now, we've got a number of customers that are piloting the functionality -- the purchase order functionality, and we hope to give more of an update at the Capital Markets Day.
Unidentified Analyst: Okay. And then just one follow-up here. With respect to the investments you talked about, could you just elaborate a bit on what those investments would be when it comes to sales and marketing, sorry? Is it adding new salespeople? And then on the marketing side, like what do you think you need to do to scale the Lightspeed brand?
JD Saint-Martin: Yeah, thank you for the question. JD here. So, I think Dax and Asha touched on that too. But really the investments is across the customer experience. As we said, our focus last year was unified payments. Our focus this year and beyond is going to be really our ideal customer profile and landing and retaining more of these customers. So, in order to do that, we're investing across all the steps of our customer experience. On the land front, as we land customers, Lightspeed has been historically known for a very strong inbound performance marketing motion and we've really perfected that and we'll continue to do that. We also want to balance that with more outbound and more partnerships. If you look at last year, outbound represented about 10% of our bookings from a new business perspective, and we want to double that this year and we want to continue to raise that bar as the years progress. Partnerships is also a strong motion for us and we want to continue to raise the bar on that front to get to about 25% of our bookings from a new business perspective, that's coming from partnerships. From an onboarding and launch perspective for ICP customers, we want to increase our coverage of one-to-one launch specialists per customer to make sure that our customers are having a great experience going from signing up with us to being transactional and live and using the full suite. And then, on the managed side, we touched on AM quite a bit on this call, but we want to increase our density of account managers and really improve our book coverage for customers that are in high GTV segments. So, adding account managers where it makes sense and where we can really build a strong relationship with these customers and that's going to set us up nicely for more expansion down the road. And then lastly, on the support side, we're really evolving the way we provide technical support to our customers. And then specifically for ICP customers, we're launching new white glove service offerings for the $500,000-plus, the $2 million-plus, the $5 million-plus GTV cohorts. So, it's really an evolution of our customer experience across all these steps. And obviously, that's a cohort of customers where the LTV over CAC is very strong for us, the unit economics are very strong for us and so we feel confident making those investments will generate the right ROI for the business.
Unidentified Analyst: Okay. Great. Thanks. I'll pass the line.
Operator: That concludes our question-and-answer session. I'll turn the call back over to Gus Papageorgiou for closing remarks.
Gus Papageorgiou: Okay. Everyone, thanks for joining us this morning. If anyone has any follow-up questions, we will be around for the rest of the day, so please feel free to reach out. And we look forward to speaking to everyone when we report our next quarter. Thanks again everyone, and have a great day.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.